Operator: Good afternoon and welcome to the First Quarter 2023 Earnings Release Conference Call for Livent Corporation. Phone lines will be placed on listen-only mode throughout the conference. After the speakers’ presentation, there will be a question-and-answer period. I will now turn the conference over to Mr. Daniel Rosen, Investor Relations and Strategy for Livent Corporation. Mr. Rosen, you may begin.
Daniel Rosen: Thank you, Rob. Good evening, everyone, and welcome to Livent’s first quarter 2023 earnings call. Joining me today are Paul Graves, President and Chief Executive Officer; and Gilberto Antoniazzi, Chief Financial Officer. The slide presentation that accompanies our results, along with our earnings release, can be found in the Investor Relations section of our website. Prepared remarks from today’s discussion will be made available after the call. Following our prepared remarks, Paul and Gilberto will be available to address your questions. Given the number of participants on the call today, we would request a limit of one question and one follow-up per caller. We’d be happy to address any additional questions after the call. Before we begin, let me remind you that today’s discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to, those factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today’s information. Actual results may vary based upon these risks and uncertainties. Today’s discussion will include references to various non-GAAP financial metrics. Definitions of these terms as well as reconciliation to the most directly comparable financial measure calculated and presented in accordance with GAAP are provided on our Investor Relations website. And with that, I’ll turn the call over to Paul.
Paul Graves: Thank you, Dan, and good evening, everyone. Livent had a strong start to 2023, reporting record financial results in the first quarter of this year. Adjusted EBITDA of $157 million was nearly 50% higher than the fourth quarter of 2022, with this improvement being a result of higher average realized prices across all lithium products. The development of Nemaska Lithium, in which Livent is a 50% shareholder, continues to progress as expected, and the project reached several important milestones in the quarter. The detailed engineering phase of the project is now complete. And the Nemaska Lithium Board has approved the start of construction of the 34,000 metric ton, lithium hydroxide facility at Bécancour and the earlier commencement of mining operations at Whabouchi. A feasibility study is planned to be released by Nemaska Lithium in the second quarter. This study will outline an expected pathway to initial production and sale of spodumene in 2025, which will then be replaced by the production and sale of lithium hydroxide, commencing in the second half of 2026. Livent has raised its full year financial guidance for 2023 and continues to expect meaningful improvement following record 2022 results. This is highlighted by a midpoint for adjusted EBITDA of $565 million, or 54% year-over-year increase. As we discussed last quarter, the way we structured pricing for 2023 across our portfolio of customer contracts brings two benefits to us. It provides greater earnings visibility for the year ahead than a purely market price approach, while also retaining some exposure to market prices, and allowing flexibility to take advantage of commercial opportunities. We have also announced that we amended and extended our supply agreement with BMW, committing greater volumes and additional years to this relationship, which will help bring greater visibility to our operations in the coming years. Before I provide some market observations and highlight key focus areas for Livent, I will turn the call over to Gilberto to discuss our first quarter performance, as well as our revised full year 2023 financial guidance.
Gilberto Antoniazzi : Thanks, Paul. And good evening, everyone. Turning to slide 4. Livent reported first quarter revenue of $254 million, adjusted EBITDA of $157 million, and adjusted earnings of $0.60 per diluted share. These financial metrics were all up considerably versus the fourth quarter as well as versus the first quarter of 2022. Livent saw average realized price across all lithium products in the quarter as we continue to see strong demand. Total volumes sold were flat versus the first quarter of ‘22 and were down slightly versus the prior quarter, due to a higher portion of our committed volumes we delivered to customers in the fourth quarter of last year, as discussed on our last earnings calls. Adjusted EBITDA was 3 times the same quarter a year ago as meaningful price improvements across all lithium products more than offset higher operating costs compared to a year ago quarter. On a sequential basis, adjusted EBITDA was nearly 50% higher versus the fourth quarter. This performance was driven primarily by price improvement, coupled with lower costs. Let me provide a bit more color on our improved pricing performance. While we observed higher prices across all product lines, we achieved realized prices for hydroxide that were 46% higher on average than in the fourth quarter. This improvement is consistent with the commentary we provided on our last earnings call regarding last year’s negotiated price increases across our contract volumes. The cost reductions we saw in the quarter are mostly timing related. Lower royalties were due to timing of export shipments out of Argentina, coupled with higher production of lithium chloride to fit our downstream butyllithium and lithium metal products, thus delaying third-party lithium metal purchases. For the full year -- quarters ahead, we expect to see higher costs in our results. Livent’s total capital spending in the first quarter was $72 million. We expect this to increase over the remainder of the year as we reach target year-end completion of our second 10,000 metric ton lithium carbonate expansion in Argentina and as well as the 15,000 metric ton lithium hydroxide expansion in China. As a reminder, Livent 2023 capital expenditures are anticipated to be $325 million to $375 million, slightly higher than in 2022, and would be supported by adjusted cash from operations projected in the range of $360 million to $440 million. Our balance sheet and overall liquidity remains very strong. We ended the quarter with $194 million in cash, and no withdrawal under our $500 million revolving credit facility. The combination of our current cash position, our ability to draw on the credit facility and a strong level for cash generation, give us continued confidence in our ability to generally fund our capacity expansions. On slide 5, you will see that we have raised Livent’s full year 2023 guidance, and we continue to expect a substantial improvement in financial performance compared to 2022, leading to record results. For the full year, we now project revenue to be $25 million higher at $1.025 billion to $1.125 billion; and adjusted EBITDA to be $20 million higher at $530 million to $600 million. This implies revenue growth of 32% and adjusted EBITDA growth of 54% at midpoints versus 2022. Our guidance continues to be based on higher volume sold, and higher average realized pricing across all the two products, partially offset by higher anticipated costs. We expect sales volumes to be 20% higher or roughly 4,000 metric tons on an LCEs basis, versus 2022. This increase is driven by our initial phases of expansion coming on line. This includes our first 10,000 metric ton expansion of lithium carbonate in Argentina, which is now complete and in startup process. This carbonate will feed a new 5,000 metric ton lithium hydroxide line in Bessemer City, North Carolina, that was completed at the end of last year. We expect most of these incremental sales volumes to be realized in the second half of this year. Looking ahead, we continue to expect at Livent, we will see meaningful average realized price improvements in 2023. Recognizing that many prices forecast for the remaining of the year are lower now than they were three months ago, there are a few key points we reemphasize with respect to Livent. First, we previously disclosed that roughly 70% of our 2023 volumes have fixed price terms that were set prior to our last earnings call in February. And many of these are on the firm take or pay commitments. As a result, we have a high degree of confidence around the 40% average expected price increase across these volumes. For the remaining 30% of uncontracted volumes, our guidance has always assumed the lithium market prices in 2023 will be lower on average than the prices we saw at the end of 2022. And so the forecasts of lower market price are entirely consistent with how we have been dealing 2023. 70% to 30% volume allocation between firm fixed price commitments, the market price expose opportunities allows us to strike a balance of walking higher prices for 2023 while retaining flexibility to elect which product line to focus on, carbonate or hydroxide, and even chloride or metal versus butyllithium. Therefore, we still expect a continued increase in our average realized price in 2023 in a wide range of market scenarios. We see additional upside as we move into 2024. To conclude, and as mentioned earlier, we continue to expect higher costs in 2023, although not enough to offset our anticipated margin improvement. The biggest drivers of this are increased royalty payments in Argentina, due to higher average expected lithium prices, and temporary higher costs incurred to commissioning our new production units. We also continue to see higher costs for raw materials, such as soda ash, for energy and labor, although not in the same magnitude as experienced last year. I’ll turn the call back to Paul.
Paul Graves : Thanks Gilberto. A lot of attention on the lithium industry in the first quarter was focused on lower than expected lithium demand, particularly in China, and the impact it had on spot market prices in the country. It became clear that many cell producers built inventory in the fourth quarter of last year, especially in China, in anticipation of elevated demand prior to expiring subsidies. In the first quarter, we saw the usual seasonal lithium demand slowdown, consistent with patterns we’ve experienced over the last few years. However, the magnitude this year was certainly greater than we expected as the higher inventory built in the fourth quarter was worked through and cell producers reduced their production and therefore procurement accordingly. We also saw continued weakness in consumer electronics applications which, like LFP batteries is largely a carbonate based business. It’s important to note that demand for energy storage applications did not decrease during the first quarter, and battery installations in both electric vehicle and stationary storage applications continued to show significant year-over-year growth. LFP cathode production was most notably down in the first quarter, with the average monthly output in China down about 40% versus full quarter levels. This helps to explain why carbonate demand and therefore carbonate prices in China were most severely impacted. We saw much greater resiliency in hydroxide prices and in some non-China international pricing benchmarks. Battery, cathode and lithium demand outside of China, most notably in Japan and Korea continues to be healthy. This is supported by recent positive commentary from leading producers in these regions. Outside of China, battery use quality standards and access to IRA compliant production continue to be key areas of focus for leading global energy storage supply chains, resulting in greater emphasis on maintaining existing supplier relationships. These are factors that come to drive continued view that while important, the spot market in China is not reflective of the entire market. Coming out of the first quarter, we have already begun to see notable improvements in demand globally. Specifically in China, both EV assembly and sales have increased on a month-over-month and the a year-over-year basis every month to begin the year, despite the end of central government subsidies at the end of 2022. While the very near-term implications for lithium prices are challenging to predict, there are a few data points that give us comfort that pricing is not retreating back to historical levels. We have already seen the impact of current price levels on high cost lithium converters in China, where the cost of spodumene for non-integrated producers not declining at the same pace as China market lithium prices, we’ve seen negative economics for many converters. Not surprisingly, this resulted in converter shutdowns in the last few months. Additionally, the first quarter reduction in production levels of cathode and cell producers appears to have already brought inventory levels back to more normalized ranges when compared to overall aggregate demand. Therefore, as activity resumes and demand growth continues as expected, production levels and therefore lithium demand are expected to increase again. And for those of you that continue to believe that spot carbonate prices are all that matters, you will no doubt be pleased to have seen that last week several price reporting agencies reported increases in lithium spot prices inside and outside China. We have not reduced our lithium demand expectations for 2023, consistent with many other industry analysts and participants. Bear in mind that historically, almost two thirds of annual global passenger EV demand occurs in the second half of the year. Demand for lithium-ion batteries is also becoming much more broad based. Battery demand from EV applications in the U.S., Europe and rest of the world combined, is growing at a faster year-over-year rate than in China. Additionally, stationary storage demand is increasing at faster rates today than all EV applications, growing close to 200% year-over-year in the first quarter in China, despite the broader slowdown. Despite the massive battery demand for electric vehicles, passenger EVs are expected to be on a 60% of total lithium-ion battery demand in 2023. This increased geographic and application diversification adds further resiliency to the overall growth forecasts. As we’ve said in the past, demand growth is unlikely to always be linear and prices could certainly move around a lot over shorter periods. But we don’t see any new data points that would suggest that long-term fundamentals are meaningfully different than our recent commentary. On the supply side, we continue to see broad expansion delays and disruptions, further challenging any view that we’re approaching a meaningful or sustained oversupply of lithium. While there is new supply slated to come on line in 2023, there have been multiple announcements of delays and cost increases. In China, we continue to see periodic challenges around energy supply rationing, as well as crackdowns on illegal or environmentally unfriendly mining activities. As prices fall for carbonate in China, high cost lepidolite on nonintegrated converters curtail their output. Globally, skilled local labor has been flagged repeatedly as a bottleneck for meeting current production targets and expansion goals. Additionally, we’ve seen the impact of political uncertainty in several regions and the effect it has on confidence in making very large multi-year capital investments. Finally, the cost of building and operating lithium assets continues to climb higher, as demonstrated by recent updates across our industry, ranging from established producers to the more marginal or speculative projects. These higher costs are being amplified further as the desire for localized supply chains grows. Given the need for unprecedented volume expansion in our industry over the foreseeable future, expected economic returns will need to be high enough to support the investment required to keep up with growing demand. On slide 7, I’d like to focus on Livent specifically on what you should expect from the Company as we move through the rest of this year. As reflected by the increase of a guidance, our expectations for 2023 financial performance over the full year remains strong. And we anticipate significant improvement in profitability and cash flow generation. Livent’s average realized pricing in the first quarter was higher than our expectations when we set our guidance range three months ago, and it was these higher realized prices that underpin our decision to increase guidance today. While we have also seen a greater than anticipated decline in certain lithium reference prices, particularly carbonate in China, the prices in the markets that we participate in, were actually better than our forecast had assumed. And to be clear, we did not sell any lithium carbonate in China in the first quarter and do not expect to do so in the second quarter. We have seen no signs of reduced demand from our customers for the full year. In fact, the focus for them remains on incentivizing continued expansionary investment, and seeking to lock in larger volume commitments from us over a longer period of time, especially given our multi-regional, current and future lithium hydroxide capabilities. With respect to volumes, 2023 will be the first of a sequence of years, the Livent will see the benefit from incremental production, as a result of multiple years of expansionary investment. We remain unscheduled to deliver all our announced capacity expansions. After completing our first 10,000 metric ton expansion of lithium carbonate in Argentina in the first quarter, we expect to complete our second 10,000 metric ton phase in Argentina by the end of 2023. This will result in a nameplate lithium carbonate capacity, being double that of 2022, approaching 40,000 metric tons. Outside of Argentina, construction is progressing on a 15,000 metric ton lithium hydroxide facility and a new location in the province of Xinjiang in China. First commercial volumes from this unit are expected in 2024. And it will increase our total global lithium hydroxide capacity to 45,000 metric tons. Put together, we believe total production in 2024 on an LCE basis can be roughly 10,000 metric tons higher, or 40% increase versus 2023. Beyond 2024m Livent continues to progress engineering and evaluation work on additional planned carbonate expansions in Argentina, as well as additional hydroxide expansions that include the ability to use lower grade recycled lithium as a feedstock. We expect to share further details on all of these fronts later this year. Increased production will be a significant driver of future financial growth for Livent, which will result in meaningfully higher cash flow generation for the Company that is much more balanced around a wider range of pricing assumptions. The development of Nemaska Lithium, an integrated lithium hydroxide project located in Quebec, Canada, in which Livent is a 50% shareholder, continues to advance. As I mentioned earlier, the Board of Nemaska Lithium approved the start of construction of the 34,000 metric ton hydroxide facility at Bécancour and the acceleration of mining operations at Whabouchi. Commercial sales of spodumene concentrate are expected to begin in 2025 and continue until the hydroxide facility comes into full production. First production of lithium hydroxide is expected in the second half of 2026. Further details regarding the project along with supporting cost information will be provided by Nemaska Lithium and a feasibility study expected to be released in the second quarter of this year. Livent continues to provide significant technical and commercial expertise to Nemaska Lithium, and has been appointed to engage in sales and marketing efforts on its behalf. Livent expects that Nemaska Lithium will be in a position to announce initial customer agreements in the second quarter. Nemaska Lithium continues to be a highly attractive project with a strategic location in North America, and ability to take advantage of various customer and government incentives for localization, access to low cost green hydro electric energy and a critical first mover advantage in the region. For all of these reasons, Livent amends fully committed to helping bring it into production. Livent’s success will be determined by our ability to deliver on expansions and to continue to be a reliable supplier of high quality lithium materials to our customers. As I mentioned at the start of this call, Livent and BMW Group agreed to an amendment and extension of the existing supply agreement. As part of this total lithium hydroxide volumes delivered per year will increase and the contract was extended in duration. Livent and BMW continue to work closely together in multiple areas, including various sustainability and technology initiatives, while also providing mutual regional support, and resources for expansion projects. We believe these additional capabilities that Livent can provide to customers beyond reliable lithium supply is a true differentiator for our business. This should become a growing model for our industry, as the need for closer relationships between OEMs and battery material suppliers only becomes more important. Finally, Livent will be delivering its latest annual corporate sustainability report in the second quarter. We look forward to highlighting the dedication and hard work of our employees and our ongoing commitment to corporate citizenship, transparency, and continuous improvement in all aspects of our operations. I will now turn the call back to Dan for questions.
Daniel Rosen: Thank you, Paul. Rob, you may now begin the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Chris Kapsch from Loop Capital.
Chris Kapsch: You mentioned no sales of carbonate in the quarter. I was just curious if that was a function more of the trajectory of spot prices in China or was it more reflective of just continued steady demand, maybe even increased demand from your customers for hydroxide? And then, just as -- to complement that question, just if you look at the divergence, I guess, somewhat backward looking for LFP demand, thus carbonate and what your commentary about demand for hydroxide and pricing holding steady, is your guidance currently based on the notion of selling no opportunistic carbonate tonnage into China? Thank you.
Paul Graves: Yes. Thanks, Chris. We didn’t sell any carbonate in Q1, we didn’t have any to sell. What we did sell carbonate, like very small volumes and was to customers outside China. Frankly, second half of the year is hard to tell. We have this carbonate coming on line and the objective is to clearly utilize that for lithium hydroxide capacity which is not being fully utilized today, because we don’t have enough carbonate to feed it. But of course, the levels of plants need to be qualified, we need to get customers qualified, you can’t qualify these plants until they’re actually running at commercial levels. And so they need to carbonate first, to carbonate piece the hydroxide plant. And because it’s a new plant, we will then finish the qualification processes that have already started. I’d tell you all of that to say, it sort of depends. Our objective is to sell hydroxide, not carbonate at this point in time. But if in the second half of the year qualification is either delayed or there are any other issues with that, we reserve the right to sell lithium carbonate. I’m not entirely sure whether it would be into China, there’s -- there are deep enough markets for the small volumes we’re talking about here outside China. So again, it’s hard to be purely predictive today. I’m not ruling out that we sell carbonate in China, although that’s not our base plan. Again, we retain that that optionality. Our guidance is absolutely based upon our assumption as to what a predominantly lithium hydroxide pricing will be, plus other products. Don’t forget, we have our butyllithium business and other bits and pieces as well. But it’s not predicated on a large carbonate sale in any region, certainly not in China.
Chris Kapsch: Got it. Thanks. And then just if you could, with some more details having emerged from the IRS around the IRA. Could you just comment on your anticipation of compliance for your hydroxide from Bessemer City? That’s where the feedstock is coming from Argentina. Thank you. 
Paul Graves: Yes. Our understanding and has always been and remains the best in the city hydroxide is fully IRA compliant.
Operator: And your next question comes from a line of Christopher Parkinson from Mizuho.
Christopher Parkinson: So, you’ve had a nice benefit in terms of Livent’s AFPs have been rolling off some lower price let’s say legacy contracts and that’s -- should be ongoing throughout 2023. Just -- Paul, what do you think investors will get a better sense of kind of when that ends and when there’s going to be a little bit more fluidity versus spot in terms of just how we should think about your contractual balances and how you’re thinking about that strategically on a go forward basis? Thank you.
Paul Graves: Yes. Hey Chris. Getting all the Chrises out of the way first. Look, I think our objective remains -- has always been to be largely contracted sales. But I think what that contract looks like is changing. As we’ve talked about before, I don’t see multi-year fixed price contracts anymore, I just don’t think that’s going to happen. But that doesn’t mean we won’t have multiyear contracts. And then, within those contracts, we will always reserve the flexibility to sit down with a customer at the start of the year and fix the pricing for any given year, if both of us want to do it. I can’t really predict how much of that will happen. But I think it will. I think some customers will be happy to have a contract that gives them the commitment that they need. They’ll recognize that their contract cannot fix prices, because if it does, it can’t be a multiyear contract. And so, they’ll be willing to have market referencing contracts. And that’s what we’re seeing. Everybody’s really quite comfortable doing that. Not everybody wants to price them the same way. Some really do want short-term price resets based on market indices. Others want the ability to revisit the market on an annual basis. But I think as you go into the future, we’re going to have an increasing capability to move our prices with the market. And that’s pretty much what we started to do in 2023.
Christopher Parkinson: And just in your prepared remarks, you mentioned just obviously some ongoing geopolitical considerations. Can you just give us a very simplistic updated thought process and how you think about your own asset base? What Nemaska’s optionality means to Livent and any further thoughts you could add on the matter? Thank you so much.
Paul Graves: Sure. We’re certainly not expecting the government of Quebec to nationalize the lithium industry anytime soon. So, we feel reasonably comfortable that that’s not a threat on the horizon. We’ve always viewed ourselves as a predominantly Americas based business. And that’s South America, North America and Canada, right? So, we are very comfortable with that thought trend. W have a long experience of operating in Argentina. The challenges of Argentina are well-known, but they’re not the same as the challenges of Chile, they’re not the same as the challenges frankly, have been in China or in Australia. We continue to view Argentina -- the resource is world class, as anybody who read our resource report will understand. And our expertise and experience in relationships down there are also, our deepest. I think we will absolutely expect to diversify, particularly in hydroxide capacity in the northern hemisphere, in the U.S., with Nemaska in Canada, and potentially others. But having single resource and single country risk, nobody really wants that but the truth is, we’re always going to have concentration in Argentina. And we’re going to still have concentration, even when Canada comes on line.
Operator: And your next question comes from a line of Matthew DeYoe from Bank of America.
Matthew DeYoe: Can you help frame a little bit the size of the margin decrement as we move from one 1Q to 2Q or 2Q to the second half, as we think about the fixed cost absorption from starting up the asset in Argentina?
Paul Graves: I’m not sure I can help you with the margin point. In fact, I’ve not really looked at the direct percentage margin impact of those costs. I think you’re going to see the first hit of startup costs coming in Q2, and clearly more of them come in Q3 and Q4, once we’re producing and we’re still ramping up production, so you get those cost inefficiencies. But Gilberto, I don’t know whether you want to add any more specifics to that.
Gilberto Antoniazzi: No. Paul, I think you’re spot on, we will start having more impact of costs starting Q2, the more even in Q3, in Q3 as we ramp up productions, both in BC, Bessemer City and Argentina. And we actually -- as we start exporting more and more in Argentina, because we expect to pay more royalties there as well, which also has an impact on our cost.
Matthew DeYoe: And then, I guess on the Nemaska side of the equation, when will we hear more about funding the commitments maybe what Canada is willing to offer? And what this might look like out of pocket for Nemaska, is that 2Q or what are we looking at?
Paul Graves: Yes. Look, I think it’s 2Q, 3Q, but I would hope in 2Q. The government -- it’s not really the government of Canada or even of Quebec that’s providing fund and it’s investing on Quebec, which is obviously an arm of the government. But there are still processes they need to go through in order to be able to deliver on that funding commitments And their funding commitments are significant. They’ve made some very significant funding commitments to us. I think beyond that in terms of other government funds, et cetera, we’re still in conversations around that. I think you should certainly see -- it becomes easier when Nemaska Lithium file their engineering report, their 43-101 report in Canada. At that point, a lot of this data will be out there and it’s much easier for them to have that conversation. It is Nemaska Lithium’s information to release, not ours. Clearly as we get clarity on the contributions of capital from IQ and from others and government money, et cetera, then we can give you an update on exactly what the quantum and timing of Livent’s contribution for that capital will be.
Operator: Your next question comes from a line of Corinne Blanchard from Deutsche Bank.
Corinne Blanchard: The first one would be on the BMW Group. And I think, interesting, you mentioned in the remarks the mutual support for expansion project. Could you share a little bit what does that mean? Could that mean can equity stake with BMW for new assets, that would be helpful?
Paul Graves: Yes. No, look, it’s certainly not financial commitment. What we’re really talking about is, BMW, we’ve been talking for many years, as I’m sure you know, and they don’t make these partnerships lightly. And we’ve spent a lot of time helping them understand our Argentina operations and what expansion requires. BMW have large operations down there in Argentina, and they have large operations here in the U.S. And so, a lot of practical help, frankly, with conversations with local authorities helping us describe what we’re doing, how we’re doing it and validating many of our statements with regard to sustainability in particular. So really, it’s -- and then there’s some technology pieces. As you know, we do have some lithium technologies that we think could be helping the transition between current state lithium batteries and the next state, solid state and we have some ongoing conversations with BMW’s technology arm about those technologies. So it’s really quite wide ranging conversations. I certainly would not want you to interpret this as being some kind of capital investment, financial investment co-investment. That’s certainly not what we’re talking about here.
Corinne Blanchard: And then the other question was on the guidance. So obviously, I think, very good that you were able to provide the guidance. But if you look at the 1Q, you have 30% business in the street. So trying to think about the earnings cadence for the rest of the year here.
Paul Graves: Yes. Look, I think one of the hardest messages we’ve tried to get across to people is we never assumed pricing was going to stay where it was, right? And so, Q1 pricing stayed higher for longer than we thought it would. And for the first four months of the year, we have been pleasantly surprised. But our fundamental analysis is the same, the pricing assumptions that we saw the pricing levels that we saw in Q4 and that people are thinking we’re going to achieve have never been part of that guidance. And so, while we still expect average realized prices for the full year to be much higher than last year, we’re certainly not expecting to continue to realize prices on our non-fixed price sales. Now, just getting -- to be fair, it’s not a large amount. And the key to remember that in the first half of this year, we really don’t have a huge amount of volume available to sell into what you guys might call the spot markets. So, we’re basically being cautious with the back half of the year and saying we know prices are not going to be up in the stratosphere as they were in Q4. It’s really difficult to predict on a quarter by quarter basis exactly where prices are going to be. And given the way we go to market, it’s even more difficult to directly predict what our realized prices will be. But I think it’s probably fair to say that a combination of lower market prices in the second half of the year than we saw in Q1 or in Q4 last year, combined with some of the higher costs that we’re talking about help you think about why our full year guidance is what it is relative to Q1 performance.
Operator: Your next question comes from the line of Kevin McCarthy from Vertical Research Partners.
Kevin McCarthy: Paul, as you formulate the annual guidance, do you have in your mind a particular level of EV demand growth that’s required to get there, or is it the case that your volume has been so constrained that you feel you can hit the guidance, regardless of how EV demand fluctuates within reason?
Paul Graves: Yes. Look, I think the first thing I would say is that you can’t always, as you’ve seen in Q1, draw a direct short-term linear relationship between EV demand and lithium prices. They certainly drive long term analyses of ours. For ourselves, as I said, we could sell 2x what we make today, if we had the capacity. We are absolutely not demand constrained. We are absolutely supply constrained. And so, in the short-term, bluntly, EV demand is not a major driver of our business. It does factor into our investment decisions, it factors into our long-term price estimates and forecasts. It factors into our product mix, whether we want to have more hydroxide, more carbonate, and our customer targeting and customer mix. But when -- it’s not frankly, Kevin, a big driver at all of how we calculate guidance. I mean, guidance is -- we know in any given year, when we start the year, what our total demand is, who our customers are going to be, what surplus material we have to place into the market and what is already firm committed to know, it’s not a big factor in the short-term.
Kevin McCarthy: Okay. And then coming back to price trajectory, would you expect your second quarter average realized selling prices to trend flat, up or down relative to the first quarter, given the 70-30 construct that Gilberto outlined?
Paul Graves: Yes. We don’t guide on a quarterly basis, as you know. And I don’t really want to get into that habit, because we can make a difference as to timing between quarters, because of customer mix, because of product mix, and it can change our average realized price, in any given quarter, it all evens out through the year. So we tend to focus on full year thoughts on this, not quarterly thoughts.
Operator: Your next question comes from the line of David Deckelbaum from TD Cowen.
David Deckelbaum: I was hoping to just touch a bit on just guidance and the pricing beat in the first quarter. I guess, just to put in context, last quarter I think you set expectations that this year in ‘23 the fixed price contracts that are roughly I guess, 17,000 to 18,000 tons LCE, that the pricing on that would be up 40% this year. I guess when you beat in the first quarter, did that reflect conservative guidance or the fact that some of those negotiations came in higher for fixed price agreements? And then, I guess, when you think overall, is that 40% still the expectation on pricing for fixed prices, for fixed contracts in ‘23 versus ‘22?
Paul Graves: Yes, it is. The 40% came in -- give or take the 40%, there was no change to that. As we said, that’s pretty predictable for us. And again, mix between customers in there can change it, 38%, 42%. But it’s kind of locked in at 40% year-over-year, because the volumes are committed on a take or pay and the prices are set. There’s not going to be any variability in that number. And so, the beat in Q1 with a little bit of favorable costs that went in our favor that we didn’t expect. But it was really more achieving our realized price in our non-fixed price book of business, which is not just hydroxide. It’s other products too. It was a whole bunch of other lithium products we sell as well that were higher than we expected. And so, the outperformance in Q1 was really driven by higher market prices than we’d expected. Again, just to be clear, we didn’t expect Q4 prices in Q1, we just didn’t. We thought Q4 was a complete anomaly and we never factored that in. Were we too conservative in our Q1 estimates? It appears we were. I don’t know whether we’re too conservative for the rest of the year. Time will tell. But it was really in that space. Plus, as I said, some sort of timing and costs have benefited that really helped us in Q1.
David Deckelbaum: The second one for me is just to ask more on the BMW side, and congrats on extending that contract. I guess, are you able to indicate percentage wise, how much the volumes increased through ‘28? Did the pricing mechanisms change at all? And then lastly, with that, is BMW agnostic on the geography that you’re delivering hydroxide from in this contract, or is it going to be specifically tied to specific conversion outlets?
Paul Graves: So, I unfortunately cannot comment on the first part of your question. On the second part, I wouldn’t describe BMW as agnostic. The contract that we have with them is explicitly designed to evolve with them as their supply chain changes, right? This is not a hard contract where we’ve set in stone today, rules for the next several years. It’s actually designed to allow their supply chain to change and evolve, and as our manufacturing capability evolves, to also have that evolve. Like I think everybody wants our U.S. based production when they can. Not everybody’s able to use it in an IRA compliant way today. But over the next few years, everybody absolutely wants U.S. production from us.
Operator: Your next question comes from the line of Joel Jackson from BMO Capital Markets.
Joel Jackson: Actually, the last question is what I wanted to peruse a bit more too in the BMW deal because I know you’re not going to be able to disclose specific terms. But I would think here in this environment you’ve been able to negotiate with the key customer. And yes, pricing mechanism, reopening period, lags, any other things that you can talk about, indexes, different indices, group of indices? Like how have things changed since the last time you signed that contract? Can you just give us as much color as possible to what’s happened differently now, please, Paul? Thanks.
Paul Graves: It’s an interesting one to hear you ask it because our focus is actually -- and the focus has never been really on any of those points you just mentioned. Right? What we actually have here is that, for almost the entire industry, one or two exceptions, a relatively immature supply chain and where the procurement mechanisms, particularly for lithium hydroxide that really would never been fit for purpose. And so, what we’ve sat down with BMW, who are really truly a fantastic partner for us. We sit down and we openly share challenges, they have challenges, we have, and we jointly try and solve them. And the whole purpose of us amending and extending is to reinforce what we believe will be a long-term, multiyear partnership. And so, it’s actually been much more about how do we -- selling lithium hydroxide has a lot of constraints to it. It doesn’t have a long shelf life. The specifications are very precise. Packaging is very precise, right? There’s a lot to it that in the end actually constrains the supply chain of the automotive OEM. And if we’re going to work with them to help free up that supply chain and help them get more flexibility in the supply chain, we ask from them longer term commitments, and some other commitments. And so what we’ve really done here is what I consider to be sort of create a supply relationship that is fit for tomorrow’s market and not just for today’s market and allows it all to evolve. It really hasn’t been about pricing or indices or any of those type of topics, it’s just really not particularly large parts of the conversation.
Joel Jackson: Okay. So, you made a point early in the call that some of the pricing indices that we all follow, there’s lots of them, and they’re all -- have different data points every week, have started to turn up -- some of the futures exchange price have been turning up for several weeks. What prices matter for you, Paul? Like, when you’re following prices -- I know you have a contract look, and you’ve got different pricing. But what do you follow that actually matters that informs for you the types of pricing decisions you’re going to have to make in the coming weeks?
Paul Graves: Yes. Joel, I’m going to give you a really unsatisfactory answer, which is, I’m not sure. I’m actually still not really sure. Look, I think the China spot carbonate prices is an important price, but it does not directly impact our business. We have seen, as we saw in the last couple of years, the sort of bleeding effect from any single index that gets out of whack with everything else, right. When China carbonate went through the roof a few years ago, what surprised me was how quickly other people moved into carbonate and what that did for pricing in other spaces, whether it was lithium metal, or whether it was hydroxide at the time. And so, it’s not really -- we sort of try and look at it in its entirety. We try and -- we do price some of our customer contracts off specific industries. They’re typically hydroxide based indices, large carbonate indices. So, we do look at them. It’s a relatively small part of our volume today. I think it will become more important. I’m as interested as you are in understanding how accurately these indices actually move and how much they start to really reflect what I’ll call market prices, because they don’t today, but they’re moving more in that direction. I think we’re still a couple of years away from them really being what you might see as a truly accurate reflection of what average realized prices are for those of us that are actually in the business. So, I think what I’d answer your question is, I’m sort of watching them all. And I’m trying to figure out, at what point do they actually start to have enough substance to them that they really do reflect the level of activity and the pricing activity that’s going on, in whatever product on whatever market they reference.
Joel Jackson: Paul, if I may sneak one more in. Have you been surprised, so my lovely Prime Minister, came out and talked about an investment tax credit the other month and 30%. But for exploration only, which doesn’t help you, I believe. Have you been surprised about the lack of funding the Canada’s offer to consider all the spot we have here in Quebec and really, it’s investment in Quebec as an investor, and I know they have pockets of money, making a decision, what they want to do as your partner. But have been surprised with the lack of government funding inside Canada?
Paul Graves: I think there’s a lot of ambition in Canada, and I’m not entirely sure yet that they’ve lined it up with actual direct support. I think they found a good way to support the cell industry, right? They’ve -- certainly in Quebec they have. There is certainly plenty of money going to you from the government if you’re willing to -- the battery supply chain. I don’t think they quite understand -- my own view is they don’t quite understand yet how to maximize the natural resources to their advantage. Let’s be honest, the vast majority of this project remains, the vast majority of people looking to develop them in Canada with no intention of building a hydroxide plants. So, that’s only ever going to get exported. And so I think Nemaska Lithium is a bit of a trial space for them. And I think they see us today as an opportunity to help them learn. How important is lithium hydroxide in the context of a direct attracting a broader battery chain into Canada. My view has always been not very, but that’s not necessarily their view today. And I think as their thinking evolves and as the market evolves then how they provide support is going to evolve as well.
Operator: Your next question comes from the line of Aleksey Yefremov from Keybanc Capital Markets.
Aleksey Yefremov: Paul, you mentioned you expect tight lithium market this year. Do you have a lithium demand growth numbers that’s kind of this assumption or this year depends on, like how much lithium demand should grow this year to keep the market tight?
Paul Graves: Yes. I think it depends -- I’ve said it for a while. I don’t it’s changed yet. I think demand is limited by supply still. And I think it’s explicitly the case in lithium hydroxide, maybe a little bit less so in some other products or some other applications. But certainly for the more demanding high nickel battery applications for lithium hydroxide, where we play, demand is so far ahead of what supply is going to be for the next year or two. I don’t really get too hung up on demand number, to be perfectly honest. It’s certainly -- I mean, it’s not out of line on a percentage basis with what we’ve seen in the last few years in terms of demand and some of the secular if you will, the sort of fundamental drivers of lithium demand, the move over to EVs just keeps getting stronger and stronger with -- you reach a tipping point pretty quickly, where people are not really buying ICE vehicles. And so everything is migrating really, really quickly to EVs. I mean, some of the numbers have been thrown out there by I think IEA I think came out with some data. I don’t know why they were coming out with this data, but basically they’re saying half of all cars sold by 2025 globally will be EVs. I think that’s a little -- getting a little carried away, because there’s not many cars are being sold, or we’ve certainly found a whole bunch of battery metals that we don’t know about. But I think generally speaking, demand is constrained by supply.
Aleksey Yefremov: And then, on pricing, I think I heard Gilberto mentioning that you expect higher prices next year. Is that correct? And if so, could you expand on that perhaps?
Paul Graves: Yes. I can clarify that. I didn’t hear that. And I hope we didn’t say that. We’re certainly not making price forecasts for 2024. I mean, what we’ve said is we expect volumes for us to be up significantly in 2024.
Operator: And your next question comes from the line of Pavel Molchanov from Raymond James.
Pavel Molchanov: You alluded rather gently I suppose to political risk in some jurisdictions. So, let me just ask you about the elephant in the room of Chile. Do you think the industry’s response to the proposed nationalization in Chile will encourage other governments to consider the same or discourage them, if in fact, they have been considering something similar?
Paul Graves: Yes. I don’t think it’ll do either. I think anybody who’s willing to go down the path of nationalization doesn’t necessarily care too much about what the industry participants say, think or do in response to that. I think you’ve really got to look more closely about what are the risks to a country when it comes to taking that approach. It’s one thing to nationalize a huge established industry with only two players, where you can actually look at it and say, I’m going to own a piece of that and a piece of that. That’s not the same as looking at a country that either has no production, but loads of resources, like Bolivia or Mexico, for example, Bolivia -- or somebody like Argentina that has just many, many development projects, all of which require private expertise and private capital and private funding to be brought on line. And so, I don’t think when you really get into the detail that we can all get into the how Argentina is a completely different, federal system, the impact of the provinces, et cetera, et cetera. But even going beyond that, I think this -- what nationalization means when you have a relatively young, but very diverse number of participants, like Argentina has, probably -- it’s probably a bigger barrier than what we all think or what we all do.
Pavel Molchanov: Follow-up about Nemaska. Given that you’re a 50% holder. Can you remind us what will be the accounting for this asset, once it starts-up in 2025?
Paul Graves: Yes. It’ll be good old fashioned accounting, where it will be accounted for as either. If we control it and pass the accounting test for control, then we will consolidate it. If not, it will be held with equity accounting. Just with it -- we have no offtake agreement with them. It’s not like they’ll be supplying anything to Livent. There will be no trade between Nemaska and Livent. It’s -- we own 50% of Nemaska Lithium, and we will have 50% of the economics and it will be accounted for accordingly.
Operator: Your next question comes from the line of Ben Isaacson from Scotiabank.
Ben Isaacson: Two questions for you, Paul. First is a macro question and then a portfolio question. So just sticking with this nationalization or increased protectionism that we’re seeing. We’ve heard about this LatAm lithium, OPEC or cartel, with Argentina’s name mentioned as well. Can you just give an update in terms of is that still going on in terms of discussions? And what is your personal view on a some kind of cartel?
Paul Graves: Cartel is a strong word. It carries connotations with it that on a personal view, clearly, operating the cartel or being part of a cartel is not something that I think we would be particularly supportive of. I wouldn’t overstate the degree of development of any kind of multi-country cooperation with regard to lithium or any other the battery metals or any other metals, to be perfectly honest. I just think they’re quite -- and this is a perfectly valid process. Every country with a large lithium resources, looking around and saying, what is the right way for us as a country to responsibly developing resources and make sure that we as a country that owns these resources is appropriately rewarded for them. And in most cases, the general strategy is that they all want to go down, it’s to bring more value in country. Quebec is doing this, we just mentioned it earlier. Australia has been trying to do it with some hydroxide plants being built there. But what Argentina, Chile and others have talked about for a while is building a domestic battery industry. That’s incredibly difficult to do. And so in the meantime, they’re much more focused, particularly in Argentina, of how do we make sure that these resources are developed, are brought on line, start to export, start to bring dollars into the country. They bring dollars into capital to actually develop the resources. There’s a lot of dollars coming in, in the future, there’ll be dollars in from export duties and taxes, et cetera. And so I tend to think that that form of development and thinking carefully about the balance between how much of the value is captured in country and how much is not is really the bigger debate that we do have with them. And I think it’s important that it’s done in an open and transparent manner between investors, operators, and governments, and is done in a way that is seen by all parties as being fair.
Ben Isaacson: And then just on the portfolio, can you remind us what percentage of the portfolio, and maybe there’s a better way of describing it, is up for renegotiation negotiation this year and next year?
Paul Graves: I’m sorry, for what negotiation?
Ben Isaacson: For contracts to be renewed or -- yes.
Paul Graves: Yes. It’s a tough one to answer because we only contract today’s volumes. And so, as new volume comes on line, we now say, okay, what are we going to do with this volume? Are we going to keep it open and sell it sort of short-term markets? Are we going to find customers under long-term contracts. So you’re going to find those in most years for the next few years, talking to existing or new customers about whether it makes sense to enter into a multiyear contract with them? And so, I’d expect certainly for each of the next few years to be that -- there has to be activity on our behalf doing that.
Ben Isaacson: Can I just ask that in a different way? What is the tenure of your portfolio right now? I mean, is it on a weighted average basis? Is it one and a half years, is it two years in terms of the length of the contract terms?
Paul Graves: No, it’s much longer than that, it’s much longer than two years. Where we have a contract, they are now typically -- they never used to be, right. I made this point earlier, when we were largely selling contracts and sitting down with a customer and fixing the price for the life of the contract, you really couldn’t go more than two or three years before. Look, in the past, you never got a long way out of whack but you just can’t do that anymore. But once customers move to market based pricing and therefore you don’t have to really think too much about am I getting the price right or wrong and then you start to think about how much sense it makes to sort of partner with each other for operating efficiency for qualification processes, for visibility into demand plans, these complaints get longer and longer. I think it’s probably safe to say.
Operator: And that is all the time we have today for questions. Mr. Daniel Rosen, I’ll turn the call back over to you for some final closing remarks.
Daniel Rosen: Great. Thank you. That’s all the time we have for the call today. But we will be available following the call to address any additional questions that you may have. Thanks, everyone. And have a good evening.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.